Analysts :
Operator: Good day, ladies and gentlemen, and welcome to the Agilysys Fiscal Year 2018 Second Quarter Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question and answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call may be recorded. I would now like to introduce your host for today's conference, Mr. Norberto Aja, Investor Relations. Sir, you may begin.
Norberto Aja: Thank you, operator and good afternoon, everyone. Thank you for joining the Agilysys Fiscal 2018 Second Quarter Conference Call. We'll get started in just a minute with management's presentation and comments. But before doing so, let me read the Safe Harbor disclosure. Today's conference contains forward-looking statements within the meaning of the Safe Harbor provision of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements could be identified by words such as anticipate, intend, plan, goal, believe, estimate, expect, future, likely, may, should, will and other similar references to future periods. Examples of forward-looking statements include among others, statements we make regarding guidance relating to revenue and adjusted earnings from operations, expected operating results such as revenue growth and profitability, cash balances, market demand, cost efficiencies and financial results. Forward-looking statements are neither historical facts nor assurance of future performance. Instead, they are based only on our current beliefs, expectations and assumptions regarding the future of our business, future plans and strategies, projections, anticipated events and trends, the economy and other future conditions. Because forward-looking statements relate to the future, they are subject to inherent uncertainties, risks and changes in circumstances that are difficult to predict and many of which are outside of our control. Our actual results and financial condition may differ materially from those indicated in the forward-looking statements. Therefore, you should not rely on any of these forward-looking statements. Important factors that could cause our actual results and financial conditions to differ materially from those indicated in the forward-looking statements today include, among others, our ability to achieve operational efficiencies and meet customer demand for products and solutions and the risks described in today's news announcement and in the Company's filings with the Securities Exchange Commission, including the company's reports on Form 10-K and Form 10-Q. Any forward-looking statement made by us in today's conference call is based solely on information currently available to us and speaks only as of the date on which it is made. We undertake no obligation to publicly update any forward-looking statement that may be made from time-to-time whether as a result of a new information, future developments or otherwise. Today's call and webcast will also include non-GAAP financial measures within the meaning of SEC Regulation G. When required, a reconciliation of all non-GAAP financial measures to the most directly comparable financial measures calculated and presented in accordance with GAAP can be found in today's press release, as well as in the Company's website. With that, I now like to turn the call over to Mr. Ramesh Srinivasan, President and CEO of Agilysys. Please go ahead, Ramesh.
Ramesh Srinivasan: Thank you, Norberto, and good afternoon, everyone. Thank you for joining us on the call today to review our fiscal 2018 second quarter results and our path forward. Joining me on the call today is Tony Pritchett, our Chief Financial Officer. Let me begin with a quick overview of the second quarter results, before discussing progress made against our various strategic initiatives. Compared to last fiscal year's second quarter, total net revenue decreased 7.8% to $30.1 million, that is three zero, $30.1 million, leading to a GAAP net loss of $3.2 million or a loss of $0.14, that is one four, $0.14 per share, compared to a loss of $2.4 million or a loss of $0.11 per share in fiscal 2017 Q2. Notwithstanding the softness of the revenue results, largely due to lower third-party hardware sales, in our current form as a pure-play hospitality software solutions company for the past four or so years, we were able to achieve our best ever quarter in terms of adjusted earnings from operations. As discussed earlier, the adjusted earnings from operations measure is a close proxy for free cash flow on an annual basis. This measure also improved by 67% on a sequential basis from the first quarter of this fiscal year. Our continuing initiatives to lower cost as a percentage of revenue and realign our overall operational structure to significantly reduce spend in non-growth areas have resulted in significant improvement in adjusted earnings from operations, despite the lower revenue level for the quarter. We expect to end this fiscal year with a cash balance that is at or slightly above current level. And if things turn out as planned, our next fiscal year, fiscal 2019, should be significantly better than fiscal 2018 in many aspects, including from a cash flow perspective. In spite of the significant investments involved in building our India development center, our total capital expenditure, including capitalized software were flat as a percentage of revenue, compared to Q4 of fiscal 2017. Most of our operating line items were lower as a percentage of revenue, compared to the fourth quarter of fiscal 2017 when we began to implement many of the cost management initiatives. This has been achieved through prudent management of expenses, as well as a realignment of our workforce to make our talent mix far more engineering and software development-oriented. As a result, we incurred some restructuring expenses in our current quarter income statement. We are pleased with the increasing levels of recurring revenue with both SaaS-based and maintenance revenue growing. We expect our recurring revenue base to continue to grow in the future. As reflected in the weaker-than expected top-line results for the second quarter, we acknowledge the reality that despite the progress being made across various strategic initiatives, it will take us a few more quarters to make a real difference in the marketplace. We are therefore updating our guidance for fiscal 2018 full year revenue to a new range of $130 million, one three zero million, to $134 million, compared to the prior guidance of between $136 million and $140 million. Despite this change, we remain on track with our other guidance to achieve positive adjusted earnings from operations during the fourth quarter and to improve on that going forward, particularly as our revenue growth starts to kick in. We continue to make marked progress in transforming Agilysys into a world-class, customer-centric and engineering-driven software organization. We will continue to invest in areas which will drive future growth including software development and international infrastructure. We will remain prudent in our decisions regarding which areas require more investments to help us move the ball forward and areas where we may need to tighten up to help us move towards profitability and positive cash flow as quickly as possible. During the first six months of this fiscal year, we have increased our engineering development capacity by about 50%, five zero, 50%. Our India development center already has over 130 employees onboard, and we have been able to complete about 800 development tasks at the site so far including pending product fixes and new enhancements in a little more than four months. Given the success of our India development center initiative, our Board recently approved doubling the facility to accommodate 330 employees. We expect to reach this capacity level during the first quarter of next fiscal year that is around the April to June 2018 timeframe. The key to our future growth and success will be how well we move forward with our product roadmaps with respect to our rGuest product line and our well-established products including our flagship POS product, InfoGenesis. That acceleration of product development is beginning to happen now. As those product improvements and enhancements reach our current and prospective customers, we expect to strengthen our competitive advantage. We expect product enhancements to be a crucial driver of future revenue growth along with a customer-centric services group and reenergized more motivated and better-positioned sales and marketing teams. Some of our current product roadmap focus areas include the requirements for the Asia and Europe markets, where our market shares are currently quite low and represent significant growth opportunities. The changes we made to our professional services teams a few months ago to align the teams directly by customers have been yielding good results so far. Many customers have noticed and appreciated the much improved attention they are getting from us and the increased levels of customer service. A quick update on our senior management executive team. As you know, Tony Pritchett is our CFO and Kyle Badger continues to lead our HR and legal teams. Larry Steinberg, our CTO is focused on speeding up the rGuest platform and product-line roadmap delivery, along with leading our internal systems, SaaS operations and cyber security initiatives. Cyber security remains one of our intense focus areas to ensure we protect ourselves and our customers as best as we possibly can. Tony, Kyle and Larry are Agilysys' veterans who have been with us for many years. Rob Jacks, who has had great success in the past as the CIO of multiple successful enterprises and was a long time customer of Agilysys prior to joining us a couple of years ago is leading our professional services and technical services teams. Sridhar Laveti, a 25 year enterprise software veteran, who was my colleague in a couple of previous successful professional endeavors, joined us earlier this calendar year and is heading the product development of all our well-established products including InfoGenesis, LMS and Visual One. In addition, Sridhar is also leading our customer support teams. Prakash Bhat. His last name is spelled B as in boy, H A T as in thumb, Prakash Bhat, also a former colleague for a number of years heads our India development center. And just recently, we engaged a leading executive search firm to help us find our next Head of Sales and Marketing. Reenergizing our sales and marketing teams to get our revenue growth initiatives going with positive passionate enthusiasm, high work ethic and world-class customer focus is a high priority focus area for us. With around 50%, that is half of our current customers using only one of our products, we can do much better with relatively simple objectives like better cross-selling. We have recently introduced new sales compensation incentive schemes targeted at such sales bookings and revenue growth possibilities. In summary, I am even more convinced than I was at the beginning of this calendar year, when I joined Agilysys, that this business holds tremendous shareholder value-creation opportunity. The hospitality software solutions market, our customer base is hungry for a world-class solutions provider who is great, both with product development velocity, moving software solutions forward, at the speed of the current technology progress we see all around us and can also simultaneously provide world-class customer service. We intend to be such a provider and partner to our clients. As the only technology solutions provider in this space focused on both POS and PMS in the $100 million to $300 million annual revenue sweet spot, small enough to be nimble and agile and yet large enough to be a stable partner, we fully intend to make great use of this opportunity to drive home the advantage and generate great value for our employees, customers and shareholders. As we continue to transform this business to where it needs to be, we do understand that there will be some bumps during the short-term. However, that will not deter us from reaching our medium and long-term goals. I am confident we have a stronger launching pad today than at any other time during the last four years since we became a pure-play hospitality technology software solutions provider. We are well on our way towards improving sales productivity, increasing internal efficiencies, attracting exceptional talent from all over the world, increasing product development velocity and investing in all possible revenue growth areas. In addition, it is good that we continue to enjoy a healthy balance sheet that includes nearly $40 million in cash and cash equivalents and no debt. With that, I will now turn the call over to Tony Pritchett, our CFO, on our financial results and future outlook. Tony?
Anthony Pritchett: Thank you, Ramesh, and good afternoon, everyone. Our first quarter fiscal 2018 – our second quarter fiscal 2018 revenue was $30.1 million, a 7.8% decrease from total net revenue of $32.7 million in the comparable prior year period. The decline in top-line largely reflects a decrease in product base revenue of 31.8% on the back of a significant decline in hardware equipment sales. Revenue from third-party products was down 42%, compared to Q2 of last year, while revenue from proprietary software products was down just 3%. Going forward, we see no reason to believe hardware sales won't get back to historical growth levels. Looking at revenue in greater detail, product revenue decreased by $3.4 million or 31.8% to $7.3 million and represented 24.3% of total revenue during the quarter. Product revenue in the quarter did not follow the typical range of 60% to 70% hardware and 30% to 40% software instead, software revenue this quarter was much closer to a 50% split with hardware within product revenue. Recurring revenue increased $1.2 million or 7.6%, compared to the second quarter of fiscal 2017, largely driven by new customers using our on-premise software products, as well as an increase in SaaS-based recurring revenue. The recurring revenue growth was driven by a 28.8% increase in SaaS revenues for the second quarter. SaaS revenues comprised 29.2% of total recurring revenues, compared to 24.4% of total recurring revenues in the second quarter of fiscal 2017. We are pleased that SaaS-based recurring revenue continues to grow at a faster pace than our overall recurring revenue. Support, maintenance and subscription services revenue represented 56.8% of total net revenues, compared to 48.7% of total net revenues in the second quarter of fiscal 2017. Professional services revenue decreased $0.3 million, 0.3, or 5.6% to $5.7 million reflecting the impact of decreased volume related to customer installations and implementation projects tied to the sale of on-premise and subscription-based solutions. Total revenue related to our rGuest platform comprised approximately 7% of total fiscal 2018 second quarter revenue. Moving down the income statement, cost of goods sold decreased 12.1% or $2 million in the second quarter versus the prior year period as a result of lower hardware revenue. Our total gross profit decreased $0.5 million or 3.2% for the second quarter of fiscal 2018. Taking a closer look, products gross profit decreased $0.7 million with gross profit margin increasing approximately 2% to 25.9%, primarily as a result of the increased proportion of proprietary software revenue to total product revenue compared to Q2 of fiscal 2017. Support, maintenance and subscription services gross profit increased $1.2 million, leading to a total gross margin increase of 1.6% to 74% on the back of the scalable nature of our infrastructure supporting and hosting customers. Professional services gross profit decreased by $1 million on the back of a slightly lower professional services revenue, while gross profit margin decreased 15.5% to 14.2% as the redeployment of internal resources that were previously not billable were converted into billable functions as a part of restructuring our professional services workforce into teams responsible for named customer accounts. This resulted in gross margin for the fiscal 2018 second quarter of 51%, favorably comparing to 48.6% in the prior year period and in line with stated guidance for our annual gross margins to be in the low 50% range due to the previously disclosed impact of the amortization of software development costs for first-generation versions of rGuest. Looking at operating expenses, the second quarter saw a 1.9% increase in operating expenses to $18.6 million, compared to the prior year period. However, operating expenses, excluding the charges for restructuring, severance and other charges and legal settlements, decreased by 2.2%, compared to the second quarter of fiscal 2017 and decreased by 14% compared to Q4 of fiscal 2017 when we started executing on our strategic initiatives that Ramesh discussed earlier. Product development expenses decreased $0.1 million or 1.9% despite the 50% increase in our engineering development capacity. Sales and marketing expenses decreased $0.9 million or 17.7% in the second quarter of fiscal 2018, compared to the second quarter of fiscal 2017 and general and administrative expenses increased $0.4 million or 8.2%. Restructuring, severance and other charges increased $0.8 million as part of our ongoing efforts to better allocate resources to our crucial revenue growth areas, while increasing internal efficiencies in other non-revenue-generating areas. As a result, we reported an operating loss of $3.2 million for the second quarter, which includes $1.2 million in depreciation and amortization and $1.1 million of share-based compensation. Net loss for the second quarter was $3.2 million or $0.14 per diluted share, compared to a net loss of $2.4 million or $0.11 per diluted share in the second quarter of fiscal 2017. Adjusted EBITDA was a gain of approximately $2.3 million for the second quarter, a $1 million improvement versus a gain of $1.3 million in the second quarter of fiscal 2017. Moving to the balance sheet and cash flow statement, cash and marketable securities as of September 30, 2017, was $38.5 million, compared to $49.3 million at March 31, 2017. The decrease in cash reflects approximately $5.5 million invested in the development of proprietary software and approximately $3.1 million for the purchase of property and equipment and internal-use software development. And in terms of our NOLs, we currently carry approximately $196 million in full valuation allowance on our books, which will help us remain liable for only taxes paid in certain foreign jurisdictions along with minimal state taxes for the foreseeable future. Our current NOLs expire between fiscal years 2031 and 2038. As it relates to our free cash flow, keep in mind that it tends to be cyclical on a quarterly basis lagging the adjusted earnings from operations measured during the first half of most fiscal years and then getting ahead of it during the last half. That has to do with the timing of our annual recurring revenue billing and collections. On an annual basis, we expect the free cash flow and adjusted earnings from operations to closely near each other with the exception of any one-time cash payments, like the restructuring payments we had in this fiscal quarter. Looking at adjusted earnings from operations, we experienced a loss of $1.2 million in the second quarter, favorable comparing to a loss of $3.1 million in the second quarter of fiscal 2017 and reflecting the positive impact of our operational initiatives that are having on the cost structure of our company. As Ramesh mentioned, we updated our guidance for fiscal 2018 full year revenue to a new range of $130 million to $134 million, compared to prior forecast of between $136 million and $140 million. Notwithstanding the change in full year revenue guidance, we continue to expect to generate positive adjusted earnings from operations in the fourth quarter of this fiscal year. And as it relates to margins, we also continue to expect gross margins to be in the low 50% range as non-cash developed technology expenses come off the balance sheet and solutions such rGuest Stay reach general availability and commence to amortize their development cost in a linear fashion onto our income statement. As mentioned on prior calls, we will continue to provide and periodically update guidance based on both the range of annual revenue and a non-GAAP adjusted earnings from operations metric, as we believe these metrics provide a good indication of how we are tracking towards becoming a profitable company by normalizing our non-cash and non-recurring charges, while also including expenditures on developed software and fixed assets, therefore, better approximating our expected cash generation or cash burn for a given period for ongoing needs in the business. We are also tracking our business internally based on this measure as we manage and monitor our progress towards overall positive free cash flow and profitability. We do remain confident in our ability to generate positive adjusted earnings from operations in the fourth quarter of this fiscal year. To echo Ramesh's opening comments, our results, including the significant year-over-year improvement in adjusted earnings from operations are already beginning to benefit from our initiatives to lower cost as a percentage of revenue and realign our overall cost structure. I will also reiterate the point that we are not withholding investment in areas of the business that generate productive software development improvements or generate sales, bookings and revenue. We are, however, looking at other areas of the business to manage cost and allow for investment where it is necessary, so we can generate profitable revenue growth. Our efforts to reduce overhead, streamline operations and further leverage our resources to ensure that we drive sales, EBITDA, earnings growth and shareholder value in a sustainable manner are beginning to take hold, and we feel good about the progress we've made towards our strategic plans. In closing, we are pleased by the steady progress we are making to restore our growth momentum and remain encouraged about the opportunities ahead of us to further leverage our existing customer base, engage with new customers and enter new markets. Agilysys is better positioned than it ever has been to become a growing and profitable company, and we remain confident that we are taking the necessary steps to position Agilysys for long-term sustainable growth. With that, let's turn the call over to the operator for questions. Danielle?
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Allen Klee from Sidoti. Your line is open.
Allen Klee: Hi, good afternoon. For product sales, can you go into a little about, maybe what happened in the quarter and what do you think you have to change? Or maybe what the challenge is in closing sales? Or just any color at all to how we should think about that going forward? Thank you.
Ramesh Srinivasan: Yes. Hi, Allen. Good to talk to you. With respect to the quarter, Allen, we had a much – more than expected number of deals pushing that got delayed that we thought would close in the quarter that got delayed out of the quarter. I would say that was the main reason. And the secondary reason overall, not just talking about the quarter is that, a lot of the improvements, product improvements, services improvements that we've been working on, we realized that it will just take a couple more quarters before it really starts making a difference in the marketplace and creates a strong enough pull for us, right. So those were the two main comments on that. Number one, a number of deals pushed that we didn't expect to push out of the quarter and number two, a lot of the improvements we are making in terms of creating a competitive advantage for ourselves will take just a bit more time before it makes a difference in the marketplace.
Allen Klee: Okay. And then, what are you thinking about kind of the approach to your sales team and a new head of sales in terms of how you think any changes that you would like to see?
Ramesh Srinivasan: Yes, without commenting on any particular change, Allen, I would say in general, what we have been working towards in the last two, three quarters since the beginning of this calendar year is driving some culture changes, right? We want to become a lot more energetic, a lot more customer-centric, very focused on customers and generally, more passionate, more enthusiasm, more execution and innovation-oriented. Just driving a lot of those changes. We just want more energy within the company. And also lot more internal teamwork, right? We want sales and R&D and services to be on the same page to work together to help the company and the customer. So a lot of the changes we have done during the last ten months or so have all been driving the company towards that. And as far as the sales team is concerned, there have been no major changes in the sales team other than the leadership change. We plan to invest a little bit more in our sales in terms of more quota-carrying sales reps all over the world. And we'll do that gradually along with our product improvements as our products become more and more competitive and more and more we have an advantage in the marketplace, we will make sure we drive that sales as well. But at the moment, we are looking at all regional coverages. And we want to make sure that we are covering the market well, and we are driving our sales forward with a lot of energy.
Allen Klee: Okay. Do you have numbers on the number of hotel rooms and point-of-sale devices for the quarter? And do you have any goals on how you would like to grow them?
Ramesh Srinivasan: It’s about 250,000 rooms and around 42,000 terminal end-points. And as far as growth goes, as revenue grows, so do our end-points. So, on average they should grow on a similar – kind of similar trajectory.
Allen Klee: Okay, thank you. Can you talk a little about your payment gateway and to the extent you think that that gives you a competitive advantage?
Ramesh Srinivasan: Yes. Our payment gateway more than it giving us a competitive advantage, Allen, what it does is it makes our product development efforts a lot more effective. Instead of developing payment gateway-related modules in each of our products, both in property management and in point-of-sale, we are able to make that a common module, so it makes it a lot more – much higher velocity development and we don't need to do it in each of our products. That's the main advantage it gives us. And therefore, our reaction to the marketplace is a lot quicker than otherwise. So that's the biggest advantage we get with a common pay gateway and we are now, I would say, in the 7th, 8th, 9th inning of creating a lot of the pay-at-the-table and EMV enhancements and working with a whole lot of other gateways and processes and getting ready for various markets, including Canada and even various markets in the U.S. A lot of those efforts that have gone on over the last few quarters are kind of towards the end now. So we should be in very good shape with respect to our payment gateway going into the next fiscal year.
Allen Klee: Okay, great. And then, with the large hotel chain opportunity, what are the factors that you think are key in terms of winning business there and accelerating adoption?
Ramesh Srinivasan: Yes, sure. So as you know, Allen, once we are named as one of the preferred vendors for a major hotel chain, there is still a little bit of selling to do with each of their individual hotels and their franchises and there is still work left to be done there. And with a couple of major hotel chains that we are making good progress with, a lot of their budget cycles align with the calendar year. So we expect hotels going live with our solutions to really accelerate towards the beginning of next calendar year, which is the last quarter of our fiscal year. So we expect that to keep going forward. We are making good progress with the couple of hotel chains that we are already signed up with. And there are a number of other significant size hotel and cruises and resorts opportunities in our HRC vertical that we are making reasonably good progress with. So there is a lot of promise in terms of how HRC as a vertical will drive our revenue growth forward during the coming quarters.
Allen Klee: Okay. Any comments on how you are thinking about expanding sales internationally?
Ramesh Srinivasan: Yes. So internationally, along with our hotel, resorts, cruise vertical, international represents a major revenue growth area for us. We are pretty well positioned in Asia, because we have a significant presence there. And the fact our India development center has about 130 employees helps a lot, because the more you can help a market locally, the better off you are. So Asia, we are well positioned and I think, we are much closer to revenue growth in Asia, compared to Europe. Europe, we will grow along with the opportunities. There are a couple of opportunities we are working on that is going to help fuel growth in Europe and we will grow our sales staff along with the growth. We will be disciplined with that growth effort. And as far as Latin America is concerned, that is an area where we have to get started, where we hope to get started during the next couple of quarters.
Allen Klee: Okay. Any comment on the progress on the rollout of the various rGuest solutions? And how you see that – how them happening?
Ramesh Srinivasan: Yes. So as far as rGuest is concerned, I will say, Buy is the farthest ahead. rGuest Buy is making very good progress, especially with a couple of big food service management customers. Stay is working well in limited services hotels. And our major install with one major customer there is going well, well. And we are now planning to expand the product to other limited service hotel opportunities as well. Now as we need a couple of more – few more quarters before we are ready with the full-service hotels as far as rGuest Stay is concerned. So I would say Buy is the farthest ahead. Stay is doing well in limited services hotels. And Stay, like I told you is making good progress as a common module.
Allen Klee: Okay, and in terms of the productivity you're seeing out of the Indian IT center, how do you feel about that now?
Ramesh Srinivasan: Yes, India development center, like you know, like in terms of managing – creating and managing a captive development center, I have had a couple of previous experiences with us. And I would say this is going better than expected. We've been there now for about four plus months and it's quite remarkable how much impact they've already made and that will only exponentially continue to increase as we go forward.
Allen Klee: Okay. And then, in terms of how I think about the longer-term business model here, can you – I think I've heard you say in the past some things about like how the company could – you think in the long run have margins similar to like large enterprise software companies. But is there anything about the company? Could you maybe define that and - or if there is anything different about, I don't know the hardware component here or something that makes you think it would be a little different?
Anthony Pritchett: Yes. Allen, what we've said and what we continue to expect is that, we can get to a point where we can grow revenue 10% to 20%. We don't see that there is anything standing in our way, notwithstanding the current year lower guidance. We are going to have some bumps in the road, but we should be able to get to that 10% to 20% growth rate on revenue. And as far as earnings go, our margin – we've really given an indication that we can be profitable and that we can earn somewhere between 10% and 15% of revenue on the bottom0line and the bottom-line being our adjusted earnings from operations metric. And we feel like those numbers are reasonable based on other similar companies to us, other enterprise software companies, software and SaaS companies. So there is plenty of them out there in the market that are growing revenue and are profitable and that's what we're modeling ourselves after.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Phil Bernard from Eilers & Krejcik. Your line is open.
Phil Bernard: Hi guys. Thanks for taking my call. I am not hearing, can you hear me?
Ramesh Srinivasan: Yes, Phil. We can hear you. Nice to talk to you.
Phil Bernard: There we go. It looks like recurring revenues continues to grow pretty well year-over-year and sequentially. What is driving most of that in terms of what product and what customer segment?
Ramesh Srinivasan: Yes, I mean, all our products drive that. All our products, all our software sales involves recurring revenue. And they could fall in two buckets. Some customers prefer on-premise solutions, which normally involves a license and maintenance and a lot of customers growing, more and more customers prefer the SaaS solutions where they pay us a SaaS recurring revenue. So both those buckets, license maintenance and SaaS revenue contributes to our recurring revenue growth and we continue to expand our customer base. Every quarter, we are adding more customers to our customers list and that will continue to grow recurring revenue, both the SaaS revenue and the license maintenance revenue.
Phil Bernard: Okay, okay. So there is not one customer segment as in hotels or casino or restaurants that's pushing further or stronger than the others?
Ramesh Srinivasan: In general, like Tony was describing, our revenue growth, we expect during the next, call it one to two years, a lot of our growth is going to come from the Hotel, Resorts, Cruise segment. A lot of our revenue growth is going to come from international and as we continue to innovate more, we expect more growth from Food Services and the Gaming segments that we are in as well. And all the revenue growth carry a recurring revenue competent as well. So, because we are a software company, every sale we make contributes to the growth of recurring revenue.
Phil Bernard: Got it. Got it. And...
Ramesh Srinivasan: And we expect our SaaS recurring revenue to grow at a faster rate because that's where the world is going towards -- more towards the cloud and SaaS-based solutions.
Phil Bernard: Sure, sure. And then, you guys have been very gracious with your time. So, I'll leave it with this one. It looks like sequentially margins within the subscription, maintenance and support vertical came back a little bit sequentially though they were up year-over-year. How do you look at margins within that business going forward?
Anthony Pritchett: Yes, they vary – not much, Phil. They vary a point or two quarter-to-quarter and that's really due to the timing of when customers go live and certain GAAP accounting entries when we have certain things deferred on the balance sheet for various reasons. That margin over time should grow, because it's a pretty scalable revenue line. We don't have to incur as much cost as we grow revenue. There is a lot of capacity in our datacenters. As the SaaS revenue grows and we have more customers installed and our support team that supports the phone calls from customers, that's a pretty scalable team as well at this point. So, you should see that margin kind of creep up over time.
Phil Bernard: Got it. Great. That’s it for me guys. Thank you.
Anthony Pritchett: Thanks, Phil.
Ramesh Srinivasan: Thank you, Phil.
Operator: Thank you. This concludes today's Q&A session. I would now like to turn the call back over to Mr. Ramesh, President and CEO for closing remarks.
Ramesh Srinivasan: Thank you, Danielle. And as always, thank you all for joining us this afternoon and all the confidence you have placed in us with your investments. We sincerely appreciate it. We look forward to speaking with you again when we report our fiscal 2018 third quarter results. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone, have a great day.